Operator: Good day, everyone, and welcome to the IDT Corporation's Fourth Quarter and Full Year 2018 Earnings Call. In today's presentation, IDT's management will discuss IDT's financial and operational results for the three-years [ph] and 12-month period ended July 31, 2018. During prepared remarks by IDT's Chief Executive Officer, Shmuel Jonas, all participants will be in listen-only mode [Operator Instructions]. After the prepared remarks, Marcelo Fischer, IDT's Senior Vice President of Finance and the Chief Financial Officer of IDT Telecom will join Mr. Jonas for a Q&A session. [Operator Instructions]. Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those that the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may have caused actual results to differ materially from those that they forecast. In their presentation or in the Q&A that will follow, IDT's management may make reference to non-GAAP measurements, including adjusted EBITDA, non-GAAP net income and non-GAAP EPS. A schedule provided in the earnings release reconciles adjusted EBITDA, non-GAAP net income, and non-GAAP EPS to the nearest corresponding GAAP measures. Please note that IDT earnings release is available on the Investor Relations page of IDT Corporation website at www.idt.net. The earnings release has also been filed on Form 8-K with the SEC. And with that I would now like to turn the conference over to Mr. Jonas. Please go ahead.